Operator: Good day, everyone, and welcome to the Lands' End Second Quarter Earnings Call. [Operator Instructions] Please note, this call will be recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Bernie McCracken, Interim Chief Financial Officer. Please go ahead.
Bernie McCracken: Good morning, and thank you for joining the Lands' End earnings call for a discussion of our second quarter 2023 results. which we released this morning and can be found on our website, landsend.com. I'm Bernie McCracken, Interim Chief Financial Officer, and I'm pleased to join you today with Andrew McLean, our Chief Executive Officer. After the prepared remarks, we will conduct a question-and-answer session. Please also note that the information we're about to discuss includes forward-looking statements. Such statements involve risks and uncertainties. The company's actual results could differ materially from those discussed on this call. Factors that could contribute to such differences include, but are not limited to, those items noted and included in the company's SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking information that is provided by the company on this call represents the company's outlook as of today, and we do not undertake any obligation to update forward-looking statements made by us. Subsequent events and developments may cause the company's outlook to change. During this call, we'll be referring to non-GAAP measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures can be found in our earnings release issued earlier today, a copy of which is posted in the Investor Relations section of our website at landsend.com. With that, I'll turn the call over to Andrew.
Andrew McLean: Thank you, Bernie. Good morning, and thank you for joining us today. Before I dive into a review of our second quarter performance, I want to take a moment to highlight a few key callouts for the period. We successfully injected newness across our assortment. We gained market share in our solutions-based swim category. We strategically rightsized our inventory position, ending the quarter well below prior year levels and a strengthened quality and content position, paving the way for greater levels of newness to come. Leveraging our buyer file, we have identified and are prioritizing two key high-value cohorts. We began executing on our expanded focus on licensing and entered into a new licensing agreement for footwear as well as the license for the Costco channel we mentioned in our last call. We developed a model to deliver a swim capsule for wholesale partners. In outfitters, our school uniform business performed well, and we began our work for a new partnership with Santander. In our third-party marketplace business, we took a conscious decision to curtail short-term discounted demand at Kohl's in favor of long-term brand profits and positioning. And most important, we generated strong net cash from operations. Our results for the quarter reflect our considered approach to executing our strategic plan and delivering results that drive shareholder value. Our revenue of $323 million and adjusted EBITDA of $16 million are within our guidance range and demonstrate the concerted effort we're taking to increase cash flow, reduce inventory and lower our debt levels. Fundamental to these improvements was a focus on growing gross margin that saw us deliver a 220 basis point improvement from a combination of more valuable transactions and continued improvement in supply chain costs. Commercially, this quarter was characterized by our solutions-based customer focus that put a greater emphasis on driving quality sales over simply moving units and positioning our balance sheet for long-term success. As a result, our year-to-date net free cash flow was a record in the post-spin-off periods. As I've discussed the last couple of quarters, the entire Lands' End team has been focused on our strategic initiatives to enhance value for our customers, employees and shareholders. We are taking actions to capitalize on our strength as an iconic American lifestyle brand, simplify our approach and drive improved profitability. This quarter, we made significant progress in these efforts, achieving key milestones while driving strong execution across the company. On the product side, our merchandising strategy, which is focused on growing gross margin and injecting newness across categories, is working extremely well. Our customers are responding positively to newness, providing our merchants with great insights into the products our customers are seeking and how to pace the introduction of that newness throughout the year. Lands' End competitive advantage is that we are a set solutions company. Our customers look to us for products that solve life's issues. Swim continued to perform well during the second quarter, building on the momentum of the first quarter, and we are confident that we're continuing to pick up market share. In particular, I would call out swim dresses as a high-performance silhouette during the quarter. We're pleased that Land's End continues to leverage our authority in swim to drive performance. Swim is a top priority for us, not only because of the sales and margin it's generating, but because it also drives sales in its natural vacation adjacencies like totes, towels and cover-ups. Women's woven tops and dresses and men's summer shirts and casual pants were also strong contributors to our vacation story during Q2. Linen continued to perform well in the U.S. and Europe following a strong Q1, and we achieved solid performance in our Home division during the quarter. Consistent with swim, the newness we injected across these categories performed well. As an organization, we have spent considerable strategic energy on optimizing our inventory, delivering it at the right time and in quantities and qualities that place margin dollars ahead of demand dollars. As a company, we are increasingly committed to delivering higher gross margins in both rate and dollars. We moved swiftly in the quarter to reduce remaining pockets of lower-value merchandise and position ourselves to drive a more appropriate level of turn and increase our freshness factor, ensuring we have the right products at the right time. We are pleased by the progress we've made in this effort, which consistent with where we said we'd be last quarter, resulted in inventory below pre-pandemic levels. As a result of the team's strong work to drive inventory productivity and reduce markdowns, combined with more normalized supply chains, we're well positioned to bring newness to more of our assortment. As I mentioned at the top of the call, we grew our gross margin by 220 basis points over the prior year through a range of actions. This includes increasing the speed of throughput and positioning our tried and true fabrics, while at the same time, introducing new ones. Combined with improved cash flow from the increased turns of our inventory, we have greater flexibility to invest in our strategic initiatives to drive growth and a value creation for all stakeholders. As a digitally native company, we are prioritizing our focus on innovation to improve execution across the enterprise, including, taking advantage of emerging technologies, like generates AI. Whether in customer service and engagement, data analytics, decision-making or go-to-market strategies, our increasing use of these technologies is driving efficiency and effectiveness in our work. For example, we have developed an internal app for our merchants and designers that uses ChatGPT to analyze our customer data to identify gaps in our assortment to improve buying decisions. We also made progress this quarter on our efforts to place the customer at the center of our decisions. We recently launched a partnership with Happy Returns to offer a streamlined return process, allowing customers to drop their return at one of more than 9,000 return bars nationwide. In addition to improving the customer experience, the Happy Returns process is better for the environment and reduces the carbon footprint associated with shipping back individual return packages. Another aspect of our innovation focus is how we have begun to leverage the proprietary data from our buyer file to better understand our customers. Rather than focus on demographics, we're instead zeroing in on the behaviors of our key customer cohorts. We have prioritized two high-value customer cohorts to target, each defined by a unique set of characteristics. We have defined them as resolvers and evolvers. Resolvers are the largest cohort of our existing base. This customer is a solutions-oriented dresser that prefers classic styles and values quality other trends. They shop primarily on necessity two to three times a year. Evolvers have the second-largest cohort and a potential area for growth. This customer is discovering and refining their style as an ongoing journey, and they dress what fits their current moment in life. When compared to resolvers, they gravitate towards trend and quality, of buying potential and spend more. This evolved approach of keying on behaviors enables us to define, prioritize, reach and cater to the customers that matches to Land's End most while also focusing on expanding our customer base over time With those strategic drivers in mind, I want to spend a minute speaking to our second quarter performance. Our U.S. e-commerce business, our largest direct-to-consumer channel, delivered strong margin performance in the quarter over slightly lower demand. It is pleasing to note that for the period, our customer file remained flat while our rebuy rate improved. Both of these metrics build against declines experienced from late 2021 through all of 2022, we are seeing early success as we transform our go-to-market strategy with more focused promotions around key holidays and market events, like Memorial Day, like July 4th and like Amazon Prime Day. For the quarter and go forward. we made a conscious decision to avoid prior levels of discounting to drive market share, preferring to show conviction in our solutions-based categories, leading to improved margins. During the quarter, we continued executing on our licensing strategy, which adds minimum royalty guarantees and new income streams, allowing us to continue to focus on our core capabilities. In addition to licensing the Costco channel, which I mentioned on our last call, we have entered into a new multiyear, multi-geography footwear license. Footwear continues to be an important category for us, and we chose a partner that best fits with the ethos of Land's End and our evolving focus on solutions that address customers' needs. We expect to begin seeing results in 2024 and from these two licenses and anticipate adding additional licenses as appropriate and consistent with our strategy. In addition, we developed a turnkey solution with one of our vendors to deliver our Land's End design swim capsule to new distribution channels and expect to announce a launch later this year. This model allows us to avoid the distraction of maintaining a wholesale calendar, limits our inventory ownership to a pass-through and can be leveraged across multiple retailers and geographies. Turning to the Outfitters business. We are pleased to note that revenue increased year-on-year net of the Delta relationship. We made good progress with our school uniform business seeing a 20-plus point increase in customer satisfaction over the prior year as we focused on long-term relationship reinforcement and retention following pandemic-related fulfillment challenges. These efforts around time to ship, in stock of what matters and customer service response types, delighted our customers and auger well for long-term growth. We now see opportunity to build next year while showing margin improvement. Overall, we are confident in the opportunity that the Outfitters business presents, both on its own and as a potential customer acquisition engine for our consumer business. An example of this opportunity is our recent 5-year extension with American Airlines and our recent agreement with Santander Bank for their U.S. business, which is expected to launch in December and will outfit nearly 3,000 of their branch network employees As we noted during our last call, Jim O'Connor joined Land's End to lead the Outfitters business and help enhance performance over the long term. Jim has hit the ground running and is working on a number of initiatives to ensure we're taking advantage of all opportunities to serve business and school customers and generate growth. These include implementation of better tools and processes for reaching new and prospective customers, more targeted outreach to convert pipeline to sales and enhanced use of data and analytics to ensure our engagement is the most effective it can be. More on this work to come. Moving to our third-party business, which remains an important growth avenue. The top line results for our third-party business are not where we want them to be. But consistent with our B2C strategy, we focused our online marketplace offering during the quarter on quality of sales, improving gross margin and better inventory turn and freshness. The results were productive with Target and Macy's throughout the quarter. Demand at Kohl's changed mid-quarter, transitioning from strong performance to a significant decline during the final weeks. In conversation with Kohl's, we choose to stick but our plan and protect our focus on gross margin. Our marketplace strategy provides strong sales and margin opportunities, and we plan to strategically grow these existing partnerships and explore new opportunities to expand our brand reach. Lastly, I'll touch on our international business. In a number of ways, we have been using the business to test strategies that have been both discussed and implemented in the U.S. business, namely tighter inventory control, driving freshness and higher gross margins. The results, coupled with expense management, have allowed us to deliver profitability consistent with prior years but with smaller demand than revenues. We have eliminated poorer selling items and focus on what we are good at prioritizing key items, like linen and dresses, and incorporating units into the assortment. Gross margin in Europe this quarter grew nicely by approximately 190 basis points year-over-year. We have also focused on owning the vacation in Europe with swim and linen with strong opportunities to capture market share in that segment as we look forward. Before turning the call over to Bernie, I want to spend a moment talking about something that I referenced earlier. As we continue the successful execution of our strategy and generate strong operating cash flow from increased trends of merchandise and lower inventory carrying costs, we have the flexibility to invest more cash in the business to drive sustainable value creation. We are being deliberate with these investments, targeting areas where we can inject newness into the brand to serve new and existing customers with the solutions they're looking for while operating and executing more efficiently. More on that to come. But for now, I'll turn the call over to Bernie to discuss our second quarter performance and third quarter outlook.
Bernie McCracken: Thank you, Andrew. For the second quarter, total revenue performance was within our guidance range at $323 million, a decrease of 8% compared to last year. Our U.S. e-commerce business saw sales decrease 4% compared to the second quarter of 2022, driven by continued promotional effectiveness within swim and our adjacent product categories, offset by lower markdown inventory sales. Critically, as Andrew mentioned, we achieved strong bottom line performance and improved overall gross margin in U.S. e-commerce. Our Europe e-commerce business in the quarter was down 21% year-over-year, reflecting product assortment editing focused on key categories and continued macroeconomic challenges. It's important to note that we are beginning to see some stabilization in the market as we saw sequential improvement compared to the first quarter. Global e-commerce sales decreased 9% from 2022 or 6% when adjusting for Japan, which closed last year and accounted for $8 million of revenue in the second quarter last year. Sales from Land's End Outfitters were down 4% from the second quarter of 2023. Excluding the $5 million difference in year-over-year revenue from Delta, the Land's End Outfitters business was up 4%, primarily driven by high single-digit growth in our school uniform business. Revenue for our third-party business was down 11% compared to the prior year, primarily driven by weaker-than-expected online performance at Kohl's, partially offset by strong performance at Macy's, Target and Amazon. Women's Swim continued to be a winning category for us overall, and that included selling swim inventory through these important partners. Our newly launched Macy's Marketplace has been performing better than planned, driven by strong sales in women's knits and bottoms and we look forward to seeing more to come from this partnership. Gross margin in the second quarter was 43%, an approximately 220 basis point improvement from 2022. The margin improvement was primarily driven by the strength of swim and adjacent vacation product categories, reduction in markdown inventory and improvements in supply chain costs. As a percentage of sales, SG&A was 38%, which was an increase of 170 basis points compared to 2022 due to deleveraging from lower revenues, partially offset by lower digital marketing spend and cost controls across the entire business. Since the close of the second quarter, we have taken actions to reorganize our global sourcing team and consolidating our vendor base, which will reduce our supply chain fixed expenses. Our performance led to a net loss for the quarter of $8 million or $0.25 per share compared to a net loss of $2 million or $0.07 per share in 2022. In addition to these GAAP measures, adjusted EBITDA is an important profitability measure that we use to manage our business internally. For the second quarter, adjusted EBITDA was $16 million, roughly flat year-over-year and in line with our expectations. Moving to our balance sheet. Inventories at the end of the second quarter were $396 million compared to $569 million a year ago. The 30% improvement in our inventory position was a result of our supply chain team's continued effort to improve efficiency and receive inventory closer to a selling season. We achieved the objective shared on our prior call, bringing our inventory to pre-pandemic levels. Accordingly, year-to-date net cash provided by operations was $172 million better than last year, primarily due to this improved inventory flow and productivity. In terms of our debt. At the end of the second quarter, our term loan balance was $237 million, and our $275 million ABL had $70 million of borrowings outstanding, which was $65 million lower than the second quarter last year. Despite lower borrowings outstanding on the ABL, we continued to have elevated interest expense driven by higher market rates. We continue to explore opportunities to refinance our debt and are committed to doing so subject to favorable market conditions. During the second quarter, we repurchased $3 million worth of shares under the company's previously announced $50 million share repurchase authorization, bringing the balance of the remaining authorization to $35 million as of the end of the quarter. Now moving to guidance. The product teams have done a fantastic job managing inventory, which enables us to introduce more newness in the back half. With fresher inventory and less clearance sales, we expect to continue our gross margin expansion. We expect these higher-quality sales will continue to improve our inventory efficiency and cash flow in this high interest rate environment. In the third quarter, we expect net revenue to be between $340 million and $355 million. We expect a net loss of $6.5 million to $4 million and diluted loss per share to be between $0.20 and $0.13. We expect adjusted EBITDA to be in the range of $13 million to $16 million, which takes into account SG&A headwinds related to normalized compensation accruals. Based on our second quarter results, we are updating our full year guidance and now expect net revenue of $1.5 billion to $1.55 billion. We expect net income to be in the range of a net loss of $4.5 million to net income of $1 million and net and diluted loss per share of $0.14 to earnings per share of $0.03. We expect adjusted EBITDA to be in a range of $77 million to $84 million. Our guidance for the full year incorporates approximately $35 million in capital expenditures. Additionally, as we have discussed, our improved inventory management will enable us to maintain inventory at normalized levels going forward. With that, I will turn the call back over to Andrew.
Andrew McLean: Thank you, Bernie. We're confident that our actions to transform the business are positioning us to drive shareholder returns in the second half of the year. Our vacation solutions business is continuing to develop with the core swim offering seasonally replaced with our long-held authority in outerwear. Our packables line of outerwear, using our Wanderweight fabric, a new solution, has already begun performing ahead of expectations in both the U.S. and Europe. We're not content to rest there. Building on related a long-held authorities in knits, especially supima, and bottomed to outfit our customers for their vacation and allow them to own their destination. Before we open it up for Q&A, I'd like to reiterate a few key takeaways from the second quarter. First, we're focused on ensuring the customer is at the center of all decision-making, and we'll continue to lean into our competitive advantage as a solutions company with strong customer loyalty. Second, we plan to continue to take actions to drive margin expansion across our business and improve the overall efficiency of the enterprise. With a talented leadership team in place, we're poised to execute against these initiatives. And third, we believe we are well positioned from our enhanced cash flow to thoughtfully invest in our business to drive growth and value creation for our shareholders and other stakeholders. That concludes our prepared remarks. We look forward to your questions.
Operator: [Operator Instructions] Our first question comes from Dana Telsey with Telsey Group. Please go ahead.
Dana Telsey: Hi, good morning, everyone. Nice to see the improvement on the gross margin. As you unpack the quarter in the current macro environment, how much of what's happening on the sales side would you say is the macro and consumer health? How much are adjustments that you're making to the internal business? And beyond swim, what other category -- what did you see from other categories during the quarter? And with the exit rate of the quarter, how was the cadence for the quarter? And then I just have a quick follow-up.
Andrew McLean: Okay. I'm just writing them down. Hi Dana, how're you?
Dana Telsey: Hi. Good. How're you?
Andrew McLean: I'm good. I think we understand our customer really well. We really got to grips with the database. And I think that as we looked at it from our perspective, it's not just about the demographics, it's about really understanding the cohorts of the customer. And we put a lot of time and effort into looking at really the largest cohort which we serve, which is the resolver. It continues to be strong for us, but we're seeing a growing category, which is the evolver. And it's tempting to categorize them as younger or different, but really, they're are an adjacent category to us. They live in that sort of Gen X, boomer world, late millennials. And it's like we're able to tap them. And when you ask me about the sentiment of that consumer, we've got 7 million customers in an available market with adjacencies of 120 million to run after. So there's plenty of room for us to lean in and take share and take new customers. So the actions that you saw and the numbers that come out of the quarter are really actions we took to right the business. We didn't want to chase that last dollar of demand. We wanted to be known for our newness, we wanted to be paid for our newness, and we wanted to be disciplined in what we've got and actually get to the point where we ran out of items, versus sort of having an endless stream of product that you're just finding ways to sell progressively through the season. So there was an operating discipline that really dominated this conversation. In terms of other categories -- I'm happy to come back to the first part. But in terms of other categories for us, what's been just amazing to see is the bottoms business has really stepped up. And as I think about bottoms and the companies I've worked for, where they've had strong bottoms business, is that you get a very loyal customer and they always come back. And I look at the development that we've made. It's not just about fit, it's not just about the quality, it's about how you feel. And being able to deliver newness in those bottoms on a consistent basis that's been really powerful to us. We really reintroduced denim into the assortment right at the end of Q2. It's mostly going to be a back half thing for us. But as we introduce that assortment, we saw real strength in it. The customer really embraced it. Much more evolved, much more thoughtful. And it's like we're catering to these two cohorts. It's like it's very powerful to see the sell-in that's going on underneath the commerce. So this was a conscious decision. We chose to run the business on our newness, to continue to deliver that newness, to make it about our core channels, the B2C and the B2B businesses, and then really be thoughtful about driving cash flow. We saw a different path to hitting our numbers and delivering shareholder value, and I think the results come through. We're happy with the EBITDA, it was within our guidance. We're happy with the EBITDA at this, the same as last year, but we hit that on 30% less inventory. And we saw cash flow that this business hasn't seen since the spin. So it's been strong, it's been powerful, and we're continuing to see that trend involved. I think you asked me about how Q3 started?
Bernie McCracken: Well, just I'll throw in, Dana, that the cadence that you asked for on how the quarter progressed. Our business improved sequentially each month and got better each month and through July. And that has continued into August.
Andrew McLean: And I think just to pick up on that for you, Dana, is that we're seeing a natural transition going on as swim begins to ebb, we come towards the end of the season. And it's like what we've really seen is the outerwear categories start to pick up the pace, that pick up the ownership. And we've changed our assortment for the back half of the year. I talked about this in the last calls. But we're really -- we would traditionally focus on heavier outerwear pieces. And I think as we look at climate change, we look at the fact that we're probably going to have an El Nino winter, we think it's going to be about layering, we think it's going to be of a rainwear, and we really wanted to get behind those and we've implemented new fabrications. Our Wanderweight fabrication and our packables, they're absolutely fantastic products. I can't wait to show them to you. I wish we were on video right now. But I think they are really going to help us carry through Q3 and build it into a strong Q4.
Dana Telsey: Got it. Thank you. And then two other quick things. On the gross margin, drivers of sustainability to see the continued improvement. And then on the piece with Kohl's, what steps are being taken to improve that business? And how do you see that unfolding? Thank you.
Andrew McLean: Okay. I'll take Kohl's, and I'll let Bernie take gross margin. We like our relationship with Kohl's. It's another Wisconsin company. We've been together for a long time. We really introduced this new journey with them in our sort of digital ecosphere. And it's been very powerful and it's grown well. We find ourselves in the quarter faced with a dilemma, that as we continue to improve our margins and our pricing and our quality and our newness in our core business, Kohl's was still at a point where they really wanted to be focused on an older strategy which involved more discounts. And we made a decision that we wanted to put our business and our customers first, saying, let's put the customer at the center of everything. We like the product strategy that we have, we like the pricing architecture that we're building and we're going to do whatever it takes to protect that. With Kohl's, we see a long-term opportunity here with Kohl's. This isn't something that is going to be on the wane forever. They are at an inflection point, we are at an inflection point. We wish them really well, they are a great group of people, for the future. And we will find a way to continue our partnership, evolve it, and build it. Clearly, as we put Q3 and Q4 together, you can see it in the guidance, which we feel good about, we've got other routes to building the EBITDA number and to our profitability, to building shareholder value. And we'll continue to layer those in. Specifically to marketplace, we feel really good about where we are with the growth in Target, the growth in Amazon and the growth in Macy's. And I think it's only a matter of time before we really start to see that growth come back because I do think the strategy that Kohl's is going to go after will support and need the brands like Land's End.
Bernie McCracken: And then I'll add on to Kohl's. One of the important features of our marketplace strategy is that it's a single-use inventory. We fulfill for all our marketplaces, so it allows us to diversify and sell through other distribution channels without having what a normal retailer's risk would be in single in inventory, just specifically for that distribution channel. So it really derisks our overall use of the inventory, and we can sell it through other distribution channels. And then Dana, going on to the gross margin. We really benefited in Q2 from our authority in our swim and its halo effect on the adjacent categories. Our reduction in markdown inventory, which was down 10% over last year and will continue to improve throughout the rest through the back half. And then also, we're continuing to benefit from supply chain costs. And each of these areas is going to support a gross margin expansion through the rest of the year. And then as Andrew discussed, our consolidation of our supply chain and our reorganization of our sourcing group. Those are benefits that will benefit us in 2024, that -- you would know our sourcing department is capitalized in our inventory, so those savings will more lend towards the 2024 benefit.
Dana Telsey: Thank you.
Operator: Thank you. We'll take our next question from Alex Fuhrman with Craig-Hallum Capital Group.
Alex Fuhrman: Hi, guys. Thanks for taking my question. Just a quick one for me. I mean, it seems very impressive that you're able to raise the EBITDA guidance for the year at the midpoint, even as demand is probably not as strong as you had hoped for. What's kind of the outlook for the next couple of years, just from a high level, in terms of margin recovery? Do you feel like there's more room to go based on the levers you have to pull at this current revenue level? Or do you really need some more significant revenue growth to start to see substantial margin expansion?
Andrew McLean: Alex. We're going to continue to grow our gross margin. This business and its future is contingent upon growing its gross margin, managing its inventory and delivering cash flow, and we see running room to do that. We see right now that we're we benefited at cost this year, particularly in Q1, from tailwinds in shipping costs. But really, we're really getting to grips with our manufacturing base, our sourcing base, our own sourcing organization. And we see opportunities to really leverage the AUC before we even get to the conversation around fashion. And once you start to layer the newness on top of that, I think you've got another upside opportunity that can continue us over the next three to five years of upward motion and trajectory on our gross margin. And that is going to come through in gross margin dollars, it's going to come through in increased operating profits for the company, and it will come through in a more flexible balance sheet for us as we see turn continue to increase as we move that inventory faster, and we'll really put our inventory to work versus our cash to work. So we do see this as an inflection point in how you probably think about your model and recognize that it's changed, but I think it's change that's necessary as we build that. And we see those increased AURs, the sales and the demand will come. We want to think about it this way. We're profit- and cash-led versus demand-led, whereas we used to be demand-led and then the profits would follow. Now I think that's a conscious decision on our part. It's a conscious decision to sort of wrap ourselves around the customer.
Alex Fuhrman: Great. That's really helpful. Thank you.
Andrew McLean: You're welcome.
Operator: Thank you. And at this time, we have no further questions in queue. This will conclude the Land's End second quarter earnings call. You may disconnect your line at this time, and have a wonderful day.